Operator: Greetings and welcome to the Haverty First Quarter 2023 Earnings Call. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Mr. Richard Hare, Chief Financial Officer. Thank you, sir. You may begin.
Richard Hare: Thank you, operator. During this call, we'll make forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those made or implied in such statements, which speak only of the date that they are made and which we undertake no obligation to publicly update or revise. Factors that could cause actual results to differ include economic and competitive conditions and other uncertainties detailed in the company's reports filed with the SEC. Our Chairman and CEO, Clarence Smith, will now give you an update on our results and then our President, Steve Burdette, will provide additional commentary about our business.
Clarence Smith: Good morning. Thank you for joining our first quarter conference call. Consolidated sales decreased 5.9% to $224.8 million, with comparable-store sales down 6.7%. Our earnings per share came in at $0.74 versus a $1.11 last year. In the face of difficult headwinds in the shift of consumer spending and inflationary pressures, I believe our teams delivered a strong performance. As we anniversary our business against the outsized demand generated by COVID, our incoming orders have declined. For Q1, our written sales were down 11.7% and written comp-store sales declined 12.7% for the quarter. However, this year's written sales compared to Q1 of 2019, were up 10.9% with written comp-store sales up 6.9%. We're building our reputation for quality, service and design. Our free design service continues to drive increases in average sales, and these services are helping grow our special order business. Our strong design service and excellent sales teams, along with a high quality further separates us from the more promotional players in our industry. I share our team's enthusiasm for the new collections and merchandise hitting our floors. We've developed great values and exciting new styles, which we believe will be well accepted by our customers. We've added to our curated collections and online exclusives, which greatly broaden our breadth of products. This spring, we're bringing in several new collections of outdoor furniture and enhance new category for our stores. With a major reductions in orders from our factories, we are getting lower minimum shipments, which will put less pressure on our buying teams to bring in new products without risking over inventory problems. We were in a strong inventory position and are rightsizing our buying for what we need compared to the large orders we were required to place during the last few years. In February, we opened a new location in Durham, North Carolina. We plan to open three stores in the fourth quarter in Concord, North Carolina, north of Charlotte; Dayton, Ohio; and a store south of Richmond, Virginia. Our development and real estate teams are actively evaluating and reviewing the number of store opportunities that we're seeing in our delivery footprint. We've invested, upgraded and repositioned our stores in our last six – in our 16-state footprint over the past several years, which sets us up to be able to add to our store fleet. We have the range to serve several more states from our DCs. We think there will be a number of retail locations that will be available in the coming months that would help us reach new markets and expand our presence in existing markets. We have a long, 138-year history of gaining market share during difficult times, and we believe that we're in an exceptionally strong position with our solid balance sheet to grow our store count in our regions. While housing sales in the south are an important indicator for our business, we believe our move to personalization and customization along with our strength in the faster growing southern markets, help offset softer housing numbers. We were encouraged by the recent better selling news from home builders. As housing prices moderate and mortgage rates improve, we expect to see some positive movement in our sales. Haverty is driven to help our customers’ vision of their home come to life. I believe that we're in the best position in our industry, as well as in our history to deliver on that vision. As we deliver on that promise, we will gain share and build our return for our shareholders. I’ll turn the call now over to Steve Burdette, our President.
Steve Burdette: Thank you, Clarence. And good morning. While we were hoping for stronger results in the first quarter, we are appreciative of the hard work that our team members are putting in every day to ensure that we are furnishing happiness to each and every customer. Our supply chain network continues to operate with normalized lead times. Our inventories were down 4.7% from Q1 last year. However, our backlog continues to decrease with our average age of the own arrival backlog dropping below six weeks. We continue to feel that our backlog will be back to pre-pandemic levels by early summer. We are encouraged to continue to see freight rates continuing to drop as we just finalized our contracted rates for the upcoming year beginning May 1. Our special order business was a bright spot for the quarter, as we increased our business by over 40% year-over-year to be almost 30% of our total upholstered sales. Our experiment with offering more special order color options from our upholstery import leather vendors has been a hit as we look to expand to other vendors. Our design business continues to show improvement as it grew to 26% of our business for the quarter. We expect our design business to continue to grow as we create more awareness and focus on each customer's experience. A key metric for design is our average ticket, which increased for the quarter approximately 11%. We will be testing in the third quarter a new in-store point of purchase program to help elevate the customers’ experience within our stores and provide our sales and design consultants with more tools to serve our customers’ needs. We continue working on expected refinements to the website. We have engaged a new business partner to identify incremental optimizations and opportunities, including a roadmap for meaningful personalization, a robust AB testing plan, continued technical and user experience optimizations, all driven by improved site behavior analytics. We'll start to see some of these implementations in place before the Memorial Day promotion. Our merchandising team has brought in lots of new products in Q1 with more arriving to help elevate the excitement of our sales teams and customers, heading into the Memorial Day, which is our largest promotional period for the first half of the year. We will continue to use credit as a trigger to entice the consumers during this important holiday, but we'll be more prudent in the use of credit in the non-holiday sale periods due to the increased cost from rising interest rates. Finally, we continue to focus on our execution, training and retention across the organization. However, due to the drop in our backlogs and the current written trends, we will match our staffing levels to the current business trends. The expectation is that through normal attrition, this will be a reduction of over 200 positions or approximately 7% of the workforce by the end of the second quarter. Now, I will turn the call over to Richard.
Richard Hare: Thanks, Steve. In the first quarter of 2023, net sales were $224.8 million, 5.9% decrease over the prior year quarter. Comparable store sales were down 6.7% over the prior year period. Our gross profit margin increased 10 basis points to 59.1% from 59% due to better pricing discipline and merchandising mix, reduced rate costs and a positive LIFO inventory adjustment. Selling, general and administrative expenses increased $3.2 million or 2.8% to $118.4 million. As a percentage of sales these costs approximated 52.7%, up from 48.2% in the prior year quarter. We experienced increased selling, administrative and occupancy costs, which were partially offset by reduced distribution and transportation expenses during the quarter. Other income and expense in the first quarter was negligible. And interest income increased to $1 million during the first quarter, as interest earned on our cash deposits increased this past year, as interest rates have increased. Income before income taxes decreased $10.3 million to $15.4 million. Our tax expense was $3.1 million during the first quarter of 2023, which resulted in an effective tax rate of 19.8%. The primary difference in the effective tax rate and the statutory rate is due to the state income taxes and the tax benefit from vested stock awards. Net income for the first quarter of 2023 was $12.4 million or $0.74 per diluted share on our common stock compared to net income of $19.4 million or a $1.11 per share in the comparable quarter last year. Now, looking at our balance sheet, at the end of the first quarter our inventories are $114.3 million, which was down $4.1 million from year end. At the end of the first quarter – our customer deposits were $46.4 million, which was down $1.6 million from year end and down $52.1 million versus the Q1 2022 balance. We ended a quarter with $120.2 million of cash and cash equivalents, and we have no funded debt on our balance sheet at the end of Q1 2023. During the first quarter of 2023, we amended and extended our Retailer Program Agreement with Synchrony Bank, who provides our customers with credit alternatives to purchase our products. We extended our agreement for an additional seven-year term and replaced the LIBOR rate with a certain U.S. Treasury Securities rate as the interest rate benchmark. Looking at some of our uses of cash flow, capital expenditures were $6.7 million in the first quarter, and we also paid $4.5 million of regular dividends during the quarter. During the first quarter, we didn't purchase any common shares under our existing stock buyback program, and we have approximately $20 million of existing authorization in our buyback program. Our earnings release list out several additional forward-looking statements indicating our future expectations of certain financial metrics. I will highlight a few, but please refer to our press release for additional commentary. We expect our gross margins for 2023 to be between 58.5% and 59%. We anticipate gross profit margins will be impacted by our current estimates of product and freight cost and changes in our LIFO reserve. Our fixed and discretionary type SG&A expenses for 2023 are expected to be in the $289 million to $292 million range. And the variable-type costs within SG&A for 2023 are expected to be in the range of 19.5% to 19.7% with the increases over 2022 primarily being inflation driven. Our planned CapEx for 2023 has increased to $53.1 million. As previously disclosed we're in the process of purchasing our Florida distribution center for approximately $28.2 million. We anticipate closing on this transaction in the second quarter of this year. Anticipated new or replacement stores remodeled and expansions account for an additional $16.7 million. Investments in our distribution network are expected to be $5.8 million, and investments in our information technology are expected be approximately $2.5 million. Our anticipated effective tax rate for 2023 remains at 25%, this projection excludes the impact from vesting of stock awards and any potential new tax legislation. This completes my commentary on the first quarter financial results. Operator, we would like to open the call up for questions at this time.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Anthony Lebiedzinski with Sidoti & Company. Please proceed with your question.
Anthony Lebiedzinski: Good morning and thank you for taking the questions. So first just going back to Q1, if you could just give us a little bit more details, please as far as the written sales trends, just curious to see if you guys saw any notable variation month-to-month, obviously I know Presidents Day is a key holiday within the quarter, but just wanted to get a sense as to whether the business was kind of steady or was there much difference month-to-month. And as far as product categories, if you can also comment on that as well how that trended that'd be very helpful?
Richard Hare: Sure. Anthony, its Richard. On the written sales trends we're pretty consistent during the quarter of January, February, March we're all low-single digits. January was – February was almost mid-single digit, excuse me, slightly above double-digit and then low-double digit in March, so fairly consistent on the written side. The delivery side was a little different. Our deliveries were up in January, very low-single digits and then we were down mid-single digits in February and very low-double digits in March, so that pattern was somewhat different. And just in terms of our category – revenue by category, we did see an increase in case goods in the first quarter. It went from 31% up to 35% in terms of deliveries and sales, upholstery flipped from 46.5%, down to 42.6%. Mattresses were pretty flat at 8.2% to 8.3%, and that kind of rounded out the revenue mix.
Anthony Lebiedzinski: All right. Thank you, Richard for that. And then Memorial Holidays obviously an important holiday for furniture shopping, so how would you describe your strategy as far as demand levers for this holiday versus last year? I know you said that you'll use credit, although obviously it's gotten more expensive. So maybe you could just talk about what your strategy is here for the key Memorial Day holiday?
Steve Burdette: Yes. Anthony, this is Steve. We're going to have the same, pretty much promotional calendar going for the Memorial Day as we did last year from a sale period as far as pricing, et cetera. And then from a credit side of things we will be using the 60 months during that time period. But, I made a comment to as we will not be using in the non-promotional periods. We'll just focus it around the Memorial Day event, the two-week holiday event kind of leading up to it.
Anthony Lebiedzinski: Got it. Okay. And a couple of other questions if I could, so you talked about outdoor furniture as a new category, is this going to be in stores and online or just online? And as far as like the number of skews that you plan to offer, can you give us a sense of that? I just wanted to see what the potential opportunity could be?
Clarence Smith: Anthony, it'll be both. We are adding product to about half of our stores that'll be in stock and exclusive to us, and we also will be offering some online opportunities that will be available. Most of that's going to be later this quarter and next month. It's really set up for later in the year and we think it'll be an important add to our stores particularly the ones that are in Florida and Texas. It's not going to be a big category. We're going to be careful with it, but it's going to be addition.
Anthony Lebiedzinski: Understood. Yes, thanks, Clarence. And then lastly as far as share repurchases, so Richard, I know you said you have $20 million left on the buyback. I know over time you guys have done a terrific job of returning cash to shareholders through share repurchases as well as dividends. But specifically as far as share buybacks, I haven't seen anything last couple of quarters, how should we think about share repurchases here on the go-forward basis?
Richard Hare: Well, we review that every quarter with our Board and we have a meeting coming up in May, that's to be determined.
Anthony Lebiedzinski: Okay. Sounds good. Thanks and best of luck.
Clarence Smith: Okay Anthony, thank you.
Operator: Thank you. Our next question comes from the line of Cristina Fernández with Telsey Advisory Group. Please proceed with your question.
Cristina Fernández: Hi, good morning. I have a couple of questions. The first one is on the SG&A expenses. They increase at least the fixed side about 300 basis points in the first quarter relative to last year. And the overall margin came in around 6%, 6.4%. So in the past you've talked about maintaining a double-digit operating margin. I wanted to see your outlook. Was there anything specific to the first quarter? I know that the volume tends to be a little bit light, but that will allow you to get closer to that double-digit operating margin as we move to the rest of the year?
Richard Hare: Hey, good morning, Cristina. This is Richard. So yes, our variable G&A component was up, I believe the 20% this past quarter. The volume was pretty low, which really exacerbated that percentage with the attrition and the headcount reduction that Steve mentioned, I believe of approximately 7% of the workforce are 20%. That should help us on an ongoing basis, and so that's kind of why we're guiding back down to the 19.5% to 19.7% of G&A. And then on the guidance that came down on the G&A for the non-variable is mostly related to advertising and warehousing costs. So we expect to match our levels of written business to the current trends. We'll adjust slightly our advertising strategy and then we don't expect to see demurrage type expenses that we saw in the prior years. We think that'll certainly help us out in the future on the non-variable piece.
Cristina Fernández: Thank you. And to clarify then on the gross margin, the 50 basis points of improvement in the guidance for the year, where exactly is that coming from?
Richard Hare: It's in a number of places. I mean reduction in freight cost is driving that primarily, and we're seeing those rates return back to pandemic levels, if not better. And secondarily, just the overall LIFO impact, last year in the first quarter we had I believe about $1 million expense we booked. In the first quarter of this year was approximately $1 million pickup, so we should see some improvement in LIFO. The last two years we've had significant expense and we would expect to see some recovery of that ongoing this year.
Cristina Fernández: And then my last question, any thoughts around the impact of Bed Bath & Beyond on your business? I know they're not a direct competitor, but we've seen other furnishing companies be a little bit more promotional. So do you expect any impact near-term and perhaps longer-term? Talk about the real estate strategy and any opportunity that could arise from those boxes coming on the market?
Clarence Smith: Well, they have not impacted our sales. We really don't overlap with Bed Bath & Beyond's merchandising. But we are very interested in looking at the opportunities for store locations and existing markets and some target markets that we can add. As you know, there are several hundred of them that will all be done through auction and also working with some of the landlords. We're interested in it. We're very active in evaluating it. We think this could be an opportunity for us. Similar to what we've done in the past we've been very good at converting existing retail boxes to Haverty. We've done it with Linens 'n Things, H. H. Gregg, Kmart [ph], Circuit City, Homelife and we've got some of those buildings in our portfolio today. So, we think there could be opportunities there, and we're very closely evaluating those potentials.
Cristina Fernández: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Mr. Hare for any closing remarks.
Richard Hare: Well we appreciate your participation in today's call, and we look forward to talking to you in the future when we release our second quarter results later this year. Have a great day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.